Operator: Welcome to the Aemetis Second Quarter 2021 Earnings Review Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Todd Waltz, Executive Vice President and Chief Financial Officer of Aemetis, Inc. Mr. Waltz, you may begin.
Todd Waltz: Thank you, Terrene. Welcome to the Aemetis second quarter 2021 earnings review conference call. Joining us today for the call is Eric McAfee, Founder, Chairman and CEO of Aemetis; and Andy Foster, President of Aemetis Advanced Fuels. We suggest visiting our website at aemetis.com to review today’s earnings press release, corporate presentation, filings with the Securities and Exchange Commission, recent press releases and previous earnings conference calls. The presentation for today’s call is available for review or download, on the Investors section of the aemetis.com website. Before we begin our discussion today, I’d like to read the following disclaimer statement. During today’s call, we will be making forward-looking statements including without limitation statements with respect to our future stock performance, plans, opportunities and expectations with respect to financing activities and execution of our business plan. These statements must be considered in conjunction with the disclosures and cautionary warnings that appear in our SEC filings. Investors are cautioned that all forward-looking statements made on this call involve risks and uncertainties and that future event may differ materially from the statements made. For additional information, please refer to the company’s Securities and Exchange Commission filings which are posted on our website and are available from the company without charge. Our discussion on this call will include a review of non-GAAP measures as a supplement to financial results based on GAAP. A reconciliation of the non-GAAP measures to the most directly comparable measures is included in our earnings release for the quarter ended on June 30, 2021, which is available on our website. Adjusted EBITDA is defined as net income or loss plus to the extent deducted in calculating such net income, interest expense, gain on extinguishment, income tax expense, intangible and other amortization expense, accretion and other expense of Series A preferred units, depreciation expense and share-based compensation expense. Now, I’d like to review the financial results for the second quarter 2021. Revenues during the second quarter of 2021 were $54.9 million compared to $47.8 million for the second quarter of 2020. Our North American operation in the second quarter of 2021 as compared to the second quarter of 2020 experienced steady growth volume, with an increase in the selling price of ethanol from $2.63 per gallon to $2.78 per gallon and an increase in the delivered corn price from an average of $4.55 per bushel to $8.04 per bushel. Increased COVID-19 infection rates and high steering costs negatively impacted sales in India. Gross profit for the second quarter 2021 was $3.6 million compared to $14.1 million during the second quarter of 2020. Our North America segment accounted for substantially all of the reported consolidated gross profit in both periods. Selling, general and administrative expenses were $5.8 million during the second quarter of 2021 compared to $4 million during the second quarter of 2020 as a result of period expenses incurred as part of the development of our ultra-low carbon initiatives. Operating loss was $2.1 million for the second quarter of 2021 compared to an operating income of $10 million for the second quarter of 2020, resulting from a combination of lower demand for the higher profitability, industrial alcohol products and rising corn prices. Interest expense during the second quarter of 2021 was $5.2 million. Excluding accretion and other expenses in connection with Series A preferred units in our Aemetis Biogas LLC subsidiary compared to $6.2 million during the second quarter of 2020. Additionally, our Aemetis Biogas LLC subsidiary recognized $3.8 million of accretion and other expense in connection with preference payments on its preferred stock during the second quarter of 2021 compared to $1.4 million during the second quarter of 2020. Net loss was $10.6 million for the second quarter of 2021 compared to net income of $2.2 million during the second quarter of 2020. Cash at the end of the second quarter of 2021 increased to $7.2 million compared to $600,000 at the end of 2020. Capital expenditures increased property plant equipment by $12.9 million driven by investments in our ultra-low carbon initiatives. Company debt decreased by $48.7 million compared to December 31, 2020. That completes our financial review for the second quarter of 2021. Now, I’d like to introduce the Founder, Chairman and Chief Executive Officer of Aemetis, Eric McAfee for a business update. Eric?
Eric McAfee: Thank you, Todd. As we discussed the results from Q2 2021, I encourage you to consider viewing the Aemetis corporate presentation, which can be found on the homepage of the aemetis.com website. Aemetis is focused on producing below zero carbon intensity products, including the production of negative carbon intensity renewable natural gas and renewable fuels. Our projects maximized the value of carbon credits under the California Low Carbon Fuel Standard, the Federal Renewable Fuel Standard and IRS 45Q tax credits, while reducing operating costs by using waste materials as feedstock. We own and operate production facilities with more than 110 million gallons per year of production capacity in the U.S. and India. Included in our production portfolio is the largest ethanol plant in California, a 65 million gallon per year fuel ethanol plant located in Keyes, California near Modesto that we leased in 2009 retrofitted for 18 months, started operations in mid-2011 and have owned since 2012 when the original shareholders converted their ethanol plant ownership into about 10% of the common stock of Aemetis. We also built, owned and operated 50 million gallon per year capacity distilled biodiesel and refined glycerin biorefinery on the East Coast of India, near the Port City of Kakinada. This plant was designed to use vegetable oils and animal tallow feedstock and Aemetis has unique access to low carbon intensity, low cost renewable waste oil feedstocks in India for use domestically or for export to use in our future California production plants. We work to improve our communities in which we operate by reducing air pollution and offsetting the carbon emissions that contribute to global climate change. Our capital investments and the ongoing operations of our biofuels digester and production plants create thousands of direct and indirect jobs, feeding and housing hundreds of families that depend on us to sustain and expand our business. Despite the extraordinary circumstances of the past year, we have maintained 100% employment at all of our facilities. We seek to build a strong, sustainable, valuable company by supporting a resilient, supportive corporate culture among our teams who work together to build and operate our projects. Financing the past 15 years of growth at Aemetis has placed us on a path to become a 1 billion revenues business without heavily diluting shareholders. And that was not easy. It took hard work and sacrifice and extreme commitment to our shareholders by our management team and our Board of Directors. Our entire top management team has more than 12 years of tenure at the company with our President, Andy Foster joining the company during the founding in 2006 and our Head of Aemetis International, Sanjeev Gupta joining in 2007. We have one Aemetis Board of Directors member that served for 14 years, formerly serving as the Secretary of the U.S. Department of Agriculture. And two of our board members were formerly long-term executives at Chevron Corporation. Our Audit Committee Chairman and lead Independent Director has served as a Chief Financial Officer of five public companies, each of which had more than $1 billion of revenues and the largest had $16 billion of revenues. We have a deeply committed and experienced team that has been working for many years to execute a long-term vision and to build value for shareholders. Fortunately, the positive regulatory trends for renewable fuels and the leading role of biofuels in decreasing carbon emissions have provided government policy support for Aemetis’ businesses. Long-term, low interest rate, 20-year guaranteed loans from the U.S. Department of Agriculture, the Department of Energy, and California Tax Free municipal private activity project financing opportunities are now being pursued as financing tools by Aemetis instead of highly dilutive equity financing. We have executed on a financing strategy of funding rapid growth, utilizing short-term high interest rate borrowings, which are then refinanced using long-term low interest rate debt. During the second quarter of 2021, Aemetis achieved important milestones toward revenue growth and the sustained profitability of each of our four lines of business. Now, Andy Foster, President of the Aemetis North America business will review highlights of our renewable natural gas and ethanol businesses. Andy?
Andy Foster: Thank you, Eric. As Eric mentioned, at Aemetis, we are focused on producing below zero carbon intensity products, including negative carbon intensity, renewable natural gas and renewable fuels. A prime example is our dairy-based renewable natural gas business, which will mark the 1 year anniversary of commercial production in September. RNG is a negative carbon renewable fuel that perfectly exemplifies the circular bioeconomy that Eric often refers to when describing our approach to reducing greenhouse gas emissions, while producing sustainable below zero carbon transportation fuels. The RNG initiative has many synergies with our Keyes ethanol plant, which uses agricultural feedstock that absorbs CO2 from the atmosphere during plant growth from which our production facility produces ethanol and high value animal feed. The ethanol – the Aemetis ethanol plant produces about 65 million gallons per year of renewable ethanol, but also produces about 2 million pounds per day of wet distillers’ grains that supply about 80 local dairies, which feeds more than 100,000 dairy cows. Those cows eat renewable feedstock produced by Aemetis and create waste which in turn produces methane. Aemetis captures the dairy methane emissions by building large covered anaerobic digesters. We then transport the biogas via an Aemetis owned pipeline to the Aemetis ethanol plant, where it is used as an energy source for ethanol production or is upgraded to produce renewable natural gas for use in transportation. In addition to supplying compressed natural gas stations throughout California, RNG from Aemetis can fuel RNG trucks at our Keyes plant to carry our wet distillers’ grains to the 80 dairies as well as transport biofuels to customers throughout Northern California. This process is a sustainable, negative carbon intensity circular bioeconomy that productively uses dairy waste as fuel and significantly reduces air pollutants and carbon emissions state-wide. Trucks can be fueled at our RNG – by our RNG at any compressed natural gas station connected to a utility pipeline in California as our RNG interconnection to the PG&E pipeline will enable us to send RNG to other fueling stations that we either build or own or are owned by others. This end-to-end system is scheduled to be operating by the end of 2021. Let me just take a moment to update you on some key milestones achieved as we build our network of dairy digesters and the supporting infrastructure that will deliver RNG to the California market. In September 2020, we completed Phase 1 of the Aemetis Biogas central dairy digester project and commenced operation of the first two covered lagoon digesters in the Aemetis Biogas central dairy digester project including onsite biogas cleanup and pressurization, a 4-mile pipeline owned by Aemetis and a boiler unit to utilize the biogas as a process energy at the Keyes plant. We are now building Phase 2 of the project. During Q1 of this year 2021, the California Air Resources Board issued an updated carbon intensity fuel pathway for the Keyes ethanol plant utilizing a negative 426 CI score for our biogas compared to approximately a positive 100 carbon intensity for petroleum natural gas. Both dairy digesters, onsite hydrogen sulfide removal and pressurization, the biogas pipeline and the ethanol plant boiler unit have been in continuous operation since last September, allowing us to reduce the use of petroleum natural gas at the Keyes facility. In the second quarter, we began construction of the RNG biogas upgrading facility that is co-located at the Keyes plant. As of Tuesday, the foundation was completed and we will begin mechanical installation of the gas processing equipment in approximately 2 weeks, with expected completion of the biogas upgrading facility in Q4 of this year, with commissioning and interconnection to the PG&E pipeline to follow shortly thereafter. The Aemetis RNG fueling station also co-located at the Keyes plant has been fully engineered and the production of major equipment began in the second quarter of this year. We expect to complete installation and commissioning of the RNG fueling station at approximately the same time as the centralized biogas upgrading facility. After a 2-year process of engineering, permitting and equipment fabrication in the fourth quarter of this year, we expect to have the PG&E gas pipeline interconnection completed allowing us to flow upgraded RNG to customers throughout California. Aemetis is currently engaged with a number of potential biogas offtake partners and we expect to have contracts in place during the third quarter. Another significant milestone for the RNG project was achieved last week when Aemetis was granted an encroachment permit to use the county right-of-way for construction of the 21-mile Stanislaus County’s segment of our pressurized biogas pipeline. This will allow us to begin construction of Phase 2 pipeline in the third quarter, which will connect the next series of dairy digesters with the RNG upgrading facility. We are planning to build an additional 15 dairy digesters and 32 miles of pipeline in the next four quarters to be operational in 2022. 5 additional digester projects will begin construction in 2021, with expected completion in the first half of 2022. 3 of the digesters have been fully permitted, with the remaining 2 expected to be permitted by the end of this month. Engineering has been completed for the Merced County digester projects and permits for the digesters and that segment of pipeline have been submitted for review. Construction for the Merced County segment of the digester project is scheduled to begin in early 2022. Overall, the first half of 2021 has been extremely productive for advancing the construction of the Aemetis dairy renewable natural gas project and we continue to sign up additional dairies and to further expand our digester network. We have made some key new hires on our biogas team and expect an additional – to add additional team members in the coming months. To-date, Aemetis has been awarded about $23 million of grants from the California Energy Commission, the PG&E and other government agencies for the dairy biogas project and production of renewable natural gas. Let me take a moment to discuss progress at our California ethanol plant. As Todd mentioned earlier, we saw a 16% year-over-year increase in revenues from ethanol sales in the second quarter. Since the economy began to reopen in the first half of 2021, demand for ethanol has been robust through the first half of the year and ethanol pricing has been favorable as well. Corn pricing remains a drag on higher profitability, however, with a smaller than normal corn supply this year and ongoing logistical issues with the railroads. While domestic gasoline demand has been favorable, it’s at about 95% of 2019 levels. U.S. exports have lagged and are down by about 9% year-over-year for the first half of 2021. Ethanol imports, especially from – to California from Brazil, were especially persistent in the second quarter of 2021. Strong demand and favorable pricing for both wet distillers grains and distillers corn oil remain bright spots in the overall product mix and we expect this trend to continue. Despite ongoing challenges related to COVID, over the past year and a half, the Keyes plant has continued to demonstrate strong and consistent operations. We are excited about the progress we have made on multiple projects underway that will dramatically transform the Keyes plant and allow us to significantly reduce the use of petroleum-based natural gas and the carbon intensity of our products. Let me just take a moment to give you a few updates on the projects that are expected to increase cash flow by approximately $23 million per year once completed. First, in the next month, we expect to complete the installation and commissioning of the $8 million ZEBREX zeolite membrane dehydration unit for Mitsubishi that will reduce natural gas use at the ethanol plant by replacing our molecular sieves, which are – use a significant amount of petroleum gas to generate steam, with an ethanol water separation unit that operates electrically with electrically powered equipment. This upgrade to using an electric ethanol dehydration system is expected to reduce the carbon intensity of our fuel and was partially funded by a $1.5 million energy efficiency grant and about $5 million of debt funding from Mitsubishi Chemical. Second, in June, we installed 5 new stainless steel tanks – stainless steel storage tanks and load-out increasing our storage capacity by about 250,000 gallons, which will provide us additional flexibility for operation of the new dehydration system in the plant for other applications. Three, we installed – we are installing a $10 million solar panel and micro-grid array with battery backup to further reduce natural gas consumption by replacing carbon-based natural gas with the zero carbon intensity solar electricity, while optimizing energy used throughout the ethanol plant. This solar project is funded by an $8 million California Energy Commission grant. We are in the final engineering stages of the PV micro grid system and expect to make an announcement shortly regarding our solar construction partner and will launch construction in the third quarter of this year. We are designing and building fourth and last – our last upgrade project, we are designing and building an electrically driven mechanical vapor recompression also known as MVR system to significantly reduce petroleum natural gas use, which is designed to reduce more than 60% of the steam utilized the steam – at the Keyes plant. This is partially funded by a $6 million California Energy Commission grant. Initial process engineering has been completed for the MVR system and we are expected to announce the launch of the project and design build partners in the third quarter as well. When completed, these upgrades are designed to significantly reduce or even potentially eliminate petroleum natural gas use at the ethanol plant in Keyes and reduce or eliminate our steam-driven cogen system, saving approximately $8 million per year of natural gas and utility pipeline transmission costs. Our California biorefinery is being upgraded to primarily operate using high-efficiency electric motors and pumps powered by renewable power sources, including our solar micro grid system. The combination of these new electric membrane dehydration system zero CI solar and the use of RNG as well as the MVR system is expected to result in a significant reduction in carbon intensity for the fuel produced at our Keyes ethanol plant, making the Keyes plant a sustainable, profitable supplier to the California biofuels market. Eric?
Eric McAfee: Thank you, Andy. Let’s review our new subsidiary, Aemetis Carbon Capture. In October 2020, the Aemetis plant in California was identified in a study issued by the Stanford University Center for Carbon Capture as one of 3 ethanol plant CO2 sources in California that have the highest potential return on investment from building a carbon capture and sequestration facility compared to the oil refineries, cement plants and natural gas power plants that comprise the 61 largest CO2 emission sources in California. Our ethanol plant already captures about 150,000 metric tons per year of CO2 and already compresses the CO2 in the Messer liquification plant into transportable liquid carbon dioxide from which we already generate IRS 45Q tax credits for CO2 reuse. We are now completing a 2-month confirmation review of the underground CO2 sequestration formations that were cited in the Stanford study. We have determined that the Keyes plant and the Riverbank plant sites are located above about a 7,000 foot deep strata known as a cap rock and an 8,000 foot deep strata known as a basement rock. Between the two layers is a salient formation that was cited by Stanford as ideal for carbon dioxide sequestration. Over a long period of time, the CO2 reacts with salient to form a mineral that is permanently sequestered underground and does not return to the atmosphere. We expanded the team managing Aemetis Carbon Capture subsidiary by adding Mehagan Hopkins as a Manager of Regulatory and Compliance to lead the EPA Class 6 CO2 injection well permitting process as well as manage other permitting and regulatory opportunities related to the Riverbank site and our jet diesel plant development process. In addition to California permitting experience for industrial and commercial projects, Mehagan worked at Chevron for 10 years and recently managed Chevron’s global waste remediation. In Phase 1 of the Aemetis Carbon Capture project, we plan to inject up to 400,000 metric tons per year of CO2 emissions from our biogas, ethanol and jet diesel plants into two sequestration wells which we plan to drill near our two biofuels plant sites in California. We are expecting to construct CO2 injection wells that have a minimum of 1 million metric tons per year of injection capacity per well then build the above ground compression facility for an additional 1.6 million metric tons per year of CO2 gas compression capacity. After the initial the initial point 400,000 tons per year is operational. We are in active discussions with multiple CO2 emission sources that would generate LCFS credits and IRS 45Q credits, including major oil refineries in California, and direct air capture companies. Regarding the supply to a Aemetis of up to 2 million metric tons per year of CO2 for Phase 2 of the Aemetis Carbon Capture project. The initial phase of construction includes drilling two characterization wells to provide empirical data for the EPA Class 6 permit. The injection wells will then be drilled afterwards receiving EPA and other permits. We are currently in the engineering and permitting process with the two characterisations wells with the expectation that we can drill the first characterization well in Q1 of next year. Let’s discuss our carbon zero renewable jet diesel fuel project using negative carbon intensity hydrogen in Riverbank, California. We are pleased the Aemetis carbon zero bio refinery under development in Riverbank, California near Modesto, continues to achieve major milestones after several years of work. Earlier this year, we announced the issuance of 19 separate air permits related to the Riverbank refinery, otherwise known as the ATC or authority to construct permits. Further amendments to the permits are planned as a part of final engineering. We are currently in the engineering phase of the jet diesel plant to support the closing of 20 year USDA debt financing. During Q1, 2021 we signed a technology agreement with Axens of France for the catalyst and process technology for the jet diesel plant. We also signed an agreement with Koch Project Solutions as a project manager for the engineering phase of the jet diesel project, which accelerated the phase of project development toward construction. We recently completed the engineering scope of work that was managed by Koch and are now moving to the EPC engineering and contracting agreements with the expected EPC contractor. We have engaged ATSI as the onerous engineer for the jet diesel plant, based on more than 5 years of work on projects with Aemetis. We also announced that Koch Project Solutions had signed a design and engineering agreement with Worley a $7 billion global engineering firm that is doing engineering work for the large Phillips 66 renewable diesel plant in the San Francisco Bay Area. Worley has now completed its primary scope of work and is working with a Aemetis to support the completion of the EPC agreement. Recently, we identified a global EPC that is converting a California oil refinery into a renewable diesel plant and last year completed the initial engineering design for a facility using the Axens technology. The goal of the permitting and engineering process is the financial closing of the 20 year debt funding since Aemetis has already invested about $32 million dollars of equity and grants into the project. The Riverbank jet diesel plant is designed to produce 45 million gallons per year of renewable jet and diesel, generating more than $230 million per year of revenue, and more than $65 million per year positive cash flow. We plan to expand production to 90 million gallons per year at the Riverbank site by year 2025. As part of our 5-year plan to generate approximately 460 million of revenues through renewable diesel and aviation fuel, and $130 million of annual positive cash flow. The Riverbank plant is designed to use waste orchard wood and other waste biomass such as dead forest wood to produce cellulosic hydrogen, which will hydrotreated vegetable and other renewable oils to produce jet and diesel fuel. Let’s review our biodiesel business in India. Our universal biofuels subsidiary in India bid on a portion of a $900 million biodiesel purchase tender offer for about $225 million gallons issued by the three India government oil marketing companies. Due to increased feedstock prices the OMC bidding process for months and 2021 have not resulted in prices that have been accepted by biodiesel producers. The bidding process continues with the higher price of crude oil resulting in higher prices for diesel in India, and increasing the bid prices offered by OMCs for biodiesel. Since our Indian subsidiary has no debt is fully constructed and fully commissioned. We are well positioned for a rapid revenue increase as large government purchases of renewable biodiesel begin to occur to meet the climate change and air quality goals. Once the current COVID crisis facing India begins to subside, and the India government procurement activities for biodiesel are expanded. Let’s finish with a brief review of an important innovation, which is in the commercialization process from the Aemetis technology development group. Millions of acres of wildfires each year and other adverse impacts of climate change continue to create significant losses of property and life, causing alternative uses of waste wood to become a focus of government policy and funding, headed by Dr. Gautam Vemuri as our Vice President of Technology Development, working with our laboratory staff in Minnesota, and at the Keyes ethanol plant in California. The Aemetis technology development team worked with the federally funded Joint BioEnergy Institute in Berkeley, California for more than 3 years in the development of a hybrid process to extract sugars from low cost waste, orchard and forest wood feedstock. We now hold exclusive licenses to two issued patents that protect the sugar extraction technology for use with waste biomass, and with wood from non-commercial forests. By extracting native carbon intensity C6and C5 sugars from waste wood, we plan to reduce the amount of corn starch used in our ethanol production process by using negative carbon intensity sugars from waste of wood to produce cellulosic ethanol. Every 10% of our feedstock for ethanol production that is obtained from waste wood sugars instead of corn starch is expected to generate about $30 million per year of increased EBITDA from the Keyes ethanol plant. The remaining lignin and non-converted sugars are designed to be the feedstock for our gasifier unit at the Riverbank jet diesel plant. To produce carbon negative cellulosic hydrogen for the hydro treatment of vegetable and other oils to produce sustainable and diesel fuels. A $3 million California Energy Commission grant was awarded to JB and Aemetis, which partially funded the years of collaborative work and lab testing that led to the granted patents. Recently, Aemetis, was awarded a $250,000 U.S. Forest Service Grant to further develop the sugar extraction technology. After being notified by the Department of Energy of our successful production plant proposal for sugar extraction from waste wood we have now completed the application for $1 million U.S. Department of Energy grant. This DOE grant is unique. In the event that Aemetis awarded the $1 million grant which will be used for engineering and permitting a production facility. The DOE has set aside up to $40 million of additional grant funding to fund the production plant to extract sugars from locally sourced orchard and forced waste would. We expect commercial operations to pre extract cellulosic sugars from waste would when the Riverbank renewable jet and diesel plant becomes operational. In summary, Aemetis is expanding a diversified portfolio of negative carbon intensity projects from dairy, renewable natural gas, and low carbon ethanol to renewable jet and diesel fuel. Our company’s values are long-term commitment to building value for shareholders, empowerment and respect for our employees and business partners, and making significant and positive contributions to the communities we serve. Now let’s take a few questions from our call participants. Terrene?
Operator: Thank you, Mr. McAfee. [Operator Instructions] We’ll take our first question from Manav Gupta with Credit Suisse. Please go ahead.
Manav Gupta: Hey, Andy, thank you for the update on the RNG developments. It help us understand this a little better. You expect to have 17 dairies online by the end of 2Q, ‘22. Your pipe is coming in by the end of the year your RNG trucks are coming in by the end of the year, instead of these few of these dairies can come online by end of 4Q and similarly from some dairies 1Q, like should we expect all 15 to turn up in 2Q of ‘22? Or will there be a ramp here? And if you could walk us through the ramp
Andy Foster: Yes, Manav, in my remarks I said that they thought we would be getting the next five dairies on by the end of by Q2 of next year, not the entire 15. So we’ll begin construction on the next five within – I’m going to guess within the next 30 to 45 days depending on our permitting status, if we can get the subsequent five after that done, we’ll begin them at the end of this year or the beginning of next year. And then we’ll sequentially go from there. So I think the goal is to have everything completed by the end of 2022 not by the middle of 2022.
Manav Gupta: Okay, so end of 2022. Okay fine. And also help us understand your overall aim to hit with the Phase 3 52 dairies. How many have you already signed up? Because the way we see it, you have two advantages. You have a pipe and you have existing relationships on the – with the farmers, but then there are some bigger players with bigger balance sheets. So how many more dairies do you need to sign up to get to that 52 and do you think you’ll be able to do it when there is competition from the bigger players?
Andy Foster: So currently we have about 18 dairies that are either under contract are in process of being under contract or will be under contract with or with leases signed by all the next 30 days. We’re in discussions with I want to say at least 20 more dairies that were in various stages of discussion with, some that are located near the pipeline, and some that are not, some that are further away that we would be able to service in different ways going forward. So we’re still finding a lot of interest from the dairies. I think California, carb put out a report. I was believe it was a week or two ago that essentially indicated that the dairy industry was not meeting its goals as per Senate Bill 1683 in terms of the overall reduction. So I think that got a lot of people’s attention. We’ve been hearing from dairy owners that they’re concerned about this. So I think the market continues to be strong for us. And we’re meeting – for meeting a lot of new dairies. So, to be honest with you, I’m finding that time is the hardest part in getting out to meet all these folks. But we are still getting a lot of interest. And I don’t see any challenge in us hitting the stated goal in terms of the overall build out certainly not within the next year, but as Eric had announced the 5-year plan, we expect to be able to stay on track with that.
Manav Gupta: Okay, and the last quick follow-up for Eric is, Eric, you have a guidance out there of $325 million EBITDA, which has no contribution from carbon capture and sequestration. But even if they stick to $325 million, is there, in your opinion, anything that has changed, because of which you think that $325 million will not be achievable, excluding the carbon capture and sequestration?
Eric McAfee: No, I would say that the only thing that has had any material impact of the company over the last 6 months is that there’s generally been a lack of enforcement of the Renewable Fuel Standard by the Biden administration. And this is a bit of a vote that the Wall Street investors as they making is that they’ve been voting in favour of the idea that the Biden administration would comply with federal law and fully enforcing RFS. Michael Reagan’s appointments at the EPA was specifically conditioned upon him saying to Congress that he would fully enforce federal law, including the Renewable Fuel Standard, and he was asked that question by Senator Grassley. We are now in August of 2021. And the renewable fuel standard requires in November of last year, the renewable volume obligation would have been announced, is now August and is not been announced. And this is a bit of a test. I think Wall Street is watching it closely on how the Biden administration supports the two federal court orders that have stated the EPA has been in violation of the RFS and now they used to comply with the RFS. And so we as an industry are watching that closely as well. I think we’ll do fine as a medicine. But as an industry, this should be a very strongly sustainable profitable industry today, this minute by enforcing federal law, and we have not seen that yet. So that’s an upside that I’m looking forward to seeing happen. I would say that upon that enforcement, the $325 million becomes very, very comfortable within the range of what we’re achieving here. Without that enforcement, we hit the $325 million. But it’s just the last opportunity that the president should recognize and should follow-up on his campaign commitments and enforce the RFS.
Manav Gupta: Thank you so much for taking my questions, Eric.
Eric McAfee: Sure, thank you, Manav.
Operator: We will take our next question from Derrick Whitfield with Stifel. Please go ahead.
Derrick Whitfield: Thanks, and good afternoon all.
Eric McAfee: Hello, Derrick.
Derrick Whitfield: Beginning with your carbon zero business, I wanted to focus on a couple of feedstock comments from your prepared remarks. With the year-to-date increase we’ve observed in feedstock costs across the U.S. I want to ask if you could share your views on the global feedstock markets and speak to the opportunities you can pursue to mitigate some of those feedstock pressures at your Riverbank plant?
Eric McAfee: The jet and diesel feedstock is different than our current ethanol businesses, as you know our ethanol business uses sugar currently derived from corn starch. In the future waste wood is also going to be expected feedstock use for that. But the vegetable and animal oils which are used in renewable diesel and sustainable aviation fuel, our as you know, a highly competitive feedstock marketplace. We are uniquely positioned because in India, the India is the second largest exporter of meat in the world and produces a significant amount of animal tallow. But that tallow product is very difficult to transport it is essentially a solid at room temperature. And so transporting 1,000 miles and then converting it upgrading it to meet the technical specifications of renewable diesel production. And much less transporting across the Pacific Ocean has been a very significant barrier to its use in renewable products. However, we’re the largest biodiesel producer in India, we’ve operated our plant on animal tallow and have relationship with a market player that has controlled over about 70% of the market, and is seeking a special relationship with a company that has the infrastructure and the approvals to be able to use tallow. So not only can we use tallow in our India plant, but also quite frankly, export the product to California for use in our plant in California. So we plan to use that a unique access to over 1.3 billion people’s use cooking oil and, and tallow waste product to be able to supply our California plant with what is today. And I do expect this to continue a very significant discount from the current price of feedstock to use for renewable diesel production.
Derrick Whitfield: Terrific, and it sounds like certainly a great positive for your business. Perhaps shifting over to the financial side of the equation, could you comment on the general purpose of the mix shelf you followed in late July and speak to your interest in raising equity at these levels?
Eric McAfee: Todd, you will talk about that?
Todd Waltz: Yes, I’d be happy to. So the shelf is a is a tool that I think you’d see a lot of companies our size, put up and race we are – we have it set up as is a general purpose shelf covering a variety. We have it, we have mostly put it in place so that when we see that the markets are sort of available and favourable to us that we can file an instrument and take advantage of it. It takes a while to get a shelf together and up. And so we just we put it up recently just as part of sort of overall corporate hygiene.
Derrick Whitfield: Sure, it’s very helpful. Thanks for your time, guys.
Eric McAfee: Thank you.
Andy Foster: Thank you, Derrick.
Operator: We will take our next question from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good afternoon everyone. Eric, with regards to the timeline for the initial setup of your 17, 18 dairy digesters. I think in the earlier part of this year, you said these will be coming online by the second quarter of 2022. Now the timeline seems to have moved towards the end of 2022. Could you help us understand what’s driving some of this push out? Is it just permitting issues? Is there any anything else that we should be aware of?
Eric McAfee: Actually, I wouldn’t even say it’s permitting issues. Andy is just being I think accurate in that. Our current visibility is it will take all of 2022 to put 15 digesters in the ground. The reality is our execution is on time with our biogas upgrading unit, our PG&E injection unit in our RNG fueling station. And digesters in and of themselves are not a particularly difficult thing for us. There is not a technology or other challenge. So it’s largely up to how fast our contractors execute. And we could see an upside to year end 22 forecasts, but I don’t think today we have visibility into what that timing is. So, I think Andy accurately is assessing our current view, which is it could easily take us into third or fourth quarter next year to complete all 15 of them. But there is certainly an upside to that if we see the contractors move a little quicker than otherwise expected. We are still operating in COVID. And I think unfortunately and probably unexpectedly, there have been new restrictions on operations in California. Those currently are not hampering our process, but seem to show up in surprising ways if we are trying to access labor for these projects. So, I think Andy accurately assessed that the third and fourth quarter next year would be a wrap up of those remaining 10 digesters. In general though, we continue to do the most difficult part of the process, which is the upgrading unit, the interconnection unit, and the RNG fueling stations on schedule for completion this year. And then it’s just a matter of this commodity process of installing the digesters at the dairy and interconnecting to our pipeline, which again we are also building. So the most difficult part is getting done, the easiest part is simply a labor and execution phase of digester construction.
Amit Dayal: That’s understandable. So in terms just getting a better handle on when you potentially can start recognizing revenues from these digesters, when all of these common online. Should we be looking at those revenues to be recognized in 2023 or will they start sort of slowly ramping in 2022 itself?
Andy Foster: Yes. No, so it’s a good question. And I guess it gives me the opportunity. This is Andy, by the way to further clarify what I was talking about earlier. So, we have gotten the permit to build the pipeline. We have a 12 month constructions schedule for 32 miles of pipeline. Most of the contractors have told us they can do it in 10 months. We are building in a little bit of flip time there because you don’t – you just don’t know what’s going to happen when you start digging in the ground. But we will start construction on the next five dairies which, as I said, within the next 30 days to 45 days. The digesters actually go along pretty quickly. It doesn’t take very long to build the digesters, especially with the weather we had in California, everything is pretty dry. So, it’s – the digester is fairly easy to build. So, we are going to build the pipeline in segments, as we add the dairies. And so Stanislaus County is 21 miles. We are going to be building that out. And the dairies that are the next five dairies that are connected to that will be obviously the priority, the first part of the pipeline that’s going to be built. So, as we get into the spring of next year, and start bringing those first these next five dairies on to online and it could be February, depending on the kind of winter we have, that does have a little bit of impact as you are digging the digesters in the pipeline. But let’s assume that, if I am reading the weather correctly, they are saying that’s going to be another La Niña year, which means it will be dry in California. We have a favorable construction season. We will start recognizing revenue from those digesters as they are brought up. We are going to be able to start transmitting gas through the pipeline. We will have our PG&E connection by that point. And we can start. As we bring on the next five dairies, we will start recognizing that revenue. And then as we bring on the five after that we will start bringing in. And so it’s not a wait till the end until we start doing that. It will happen sequentially as we bring these new digesters online.
Amit Dayal: Understood. Thank you for that.
Andy Foster: Did I answer your question?
Amit Dayal: Yes, yes.
Andy Foster: It’s okay…
Amit Dayal: Just last one for me, guys. On the CapEx side, with the progress you are making with permitting and getting everything ready. On the engineering side, is a lot of that CapEx going to be felt in 2022 or will that start already showing up in ‘21 itself?
Todd Waltz: We announced about $12 million of CapEx in the first two quarters of 2021. I would assume we were going to - we haven’t done the math on it. But we will see another gas cleanup unit and pipeline other stuff. We will probably see another $20 million plus, in the second half of 2021, maybe $30 million. And I think about gas, upgrading some other things. And then in 2022, first two quarters will be completion of the pipeline. And that will add another $12 million plus of the digester. So, we are seeing quarterly of roughly $10 million a quarter of CapEx happening.
Amit Dayal: Thank you. Very good. That’s all I have. Thank you so much.
Todd Waltz: Sure, thanks. I should remark again, these are one-time costs. We have a gas in upgrading, interconnect RNG fueling stations, even the pipeline are sort of one-time that then get spread over the digester. So, after this cycle of construction that Andy was talking about, then we just have the onsite dairy digester and hydrogen sulfide cleanup that interconnects to the pipeline. So, with the pace of our digester construction is expected to accelerate, as we move into that phase right now, bringing out a dairy digester in the next 30 days would generate no revenue at all, without the pipeline and interconnection. So, our rollout here is to get pipeline and interconnection in our first three dairies started immediately and then scale up with additional digesters. And as Andy mentioned, he didn’t put a timing on it, but building a digester is a 90-day to 120-day process as long as you have reasonably favorable weather. So, it’s not a long 1 year process we are doing.
Operator: We will move to our next question from Jordan Levy with Truist Securities. Please go ahead.
Jordan Levy: Hi guys and thanks for all the commentary, definitely great to hear from all team. I want to talk quickly on the carbon capture side of things for a new business that seems to be progressing relatively quickly, which is certainly encouraging. Just want to get a sense of how you are all thinking about the capital requirements there outside of the injection wells themselves and as you work with the third-parties to secure off-take agreements and for internal capture volumes.
Eric McAfee: Our plan with our carbon sequestration process is to build the two characterization wells, each well’s budget is about $4 million and spend a couple of million dollars in the permitting process, consultants and 2D and 3D seismic and some other stuff going on. So all-in, it’s about a $10 million. We estimate about an 18 month process, that’s highly variable depending on how the EPA resources their process. But we think getting two characterization wells and the empirical data in front of the EPA gives us an opportunity to potentially get a classics license by the end of next year. And we would then be well positioned to actually drill the injection wells in 2023. The actual process, though, of equity funding would be the $10 million. After that the USDA Renewable Energy for America program, as well as several programs of Department of Energy would be able to match that $10 million with DoE funding or USDA funding to build the actual 1 million tons per year of underground capacities. So, that’s the casing, cementing and the other well development will be funded using government guaranteed debt. Once we do that we have 400,000 tons per year of capacity from our existing biofuels plants that would have up ground – above ground equipment, compressing that and injecting into the wells and would have been basically funded with $10 million of equity and then USDA or DoE loans. At that point, we have contracts for negotiating with major oil companies and actually a couple of direct air capture companies that we would bring online, and would incur additional CapEx for above ground compression. So, the above – the below ground construction would be completed. But the above ground compression units would then be installed. And that would be a secondary financing. But we base it upon running a business that at that point time is estimated to have roughly $75 million of revenue. I am sorry, presumably $5 million of cash flow from about $100 million in revenue, just off of our own CO2. So as you can see, what we have designed this to be is reflective of where the real risk is, which is getting the two characterizations wells drilled and getting the EPA classics license. Once you have that, it’s fairly easy to debt finance the rest of the process. And we are doing that debt financing in two phases. Take advantage of that, we control certain amount of the CO2 ourselves and can generate positive cash flow from that that generates the equity for the rest of it. The reason we have done this phasing is we have no appetite for a large equity raise at this price or even in this range of prices our shelf offering is set up with the idea gives us flexibility, as the valuation of the company increases significantly reflecting the value of this operation we are doing in biogas and our off-take agreements with renewable diesel projects and just a number of other things we are doing with significant milestones that we are continuing to achieve. But we do not have any appetite to use a significant equity raise to fund carbon sequestration. And with a budget of only $10 million of next 18 months to create a tremendous amount of shareholder value, we are I think well positioned to do this without potentially any dilution to shareholders.
Jordan Levy: Thanks for that, Eric. And that’s a nice segue into my next question on the financing side of things. I noticed in your recent 10-Q, just some changing and wording around the ability to extend your maturities to 2023, on much of your debt structure. And I know you talked to this briefly in your prepared remarks. Just want to get a little more color on that. And then additionally, what sort of options the team might look into as a means of simplifying some of that debt structure as you move forward and some of the longer term growth projects you are working on?
Eric McAfee: Sure. We have a what, 12-year plus relationship with Third Eye Capital that has had more than 25 amendments in the course of that relationship. And so yes, we have extended that relationship out over the past 12 months. But market conditions are such that we are now seeing a lot of appetite for environmental, social and governance in those ESG kinds of projects. And certainly transition investors formerly in oil and gas now looking to get in renewables have brought additional capital in the market. And climate change focus capital has become a focus on this market. So, we recently saw Renewable Energy Group complete a $550 million green bond that was at 5.8% interest rate and is traded well, post offering. And we also this week saw an OPA with the Sunnova solar company, complete a $400 million green bond, again at about 5.8% with solar side discount, but seems to be trading well. And so we are seeing institutional investors come into the debt side of the balance sheets of renewable energy companies. And this is a rather new development. It shows a confidence in the regulatory framework that these companies operate under. And I think our company is well positioned to be one of those green bond participants. As well as I have already mentioned, the United States Department of Ag, the Department of Energy and the California Pollution Control District, private activity bonds are three markets, we are already in, in addition to the green bond market. So, we are working diligently with what we consider to be some of the world’s leading investment banks in these markets. And certainly looking to simplify our capital structure with longer term financing, but lower our cash costs. So, we can invest our equity in growth. And I think that strategy is well positioned in the current marketplace to be successful in the third quarter and fourth quarter of this year.
Jordan Levy: Thank you very much, Eric. And thank you, Todd, and Andy as well.
Todd Waltz: Thanks.
Eric McAfee: Thank you.
Operator: We will take our next question from Todd Firestone with Evercore. Please go ahead.
Todd Firestone: Thanks for taking my question. I just had a couple of things, trying to think about what can be the next catalyst at Riverbank, what should be – if could provide a little color of what we should be looking for in the second half of ‘21 or into 2022?
Eric McAfee: There are offsetting agreements we announced in, I think it was late Q1 for renewable diesel as well as sustainable aviation fuels. We are currently in contract negotiations with multiple airlines and actually a consortium of airlines for sustainable aviation fuel. And we have three primary renewable diesel off-takers that we are currently basically selecting which relationship we are going to be moving forward with. But we have three very active bidders let’s call it in our renewable diesel business. So, those would be milestones, I would expect we would achieve in the third quarter, those off-take agreements are going to be matched with milestones in engineering. I gave some disclosure today about some of the progress we have made on the engineering and permitting side of the business. And that continues to move very steadily towards a closing of project financing, which I currently expect is going to be a Q1 event of next year. So, that’s a slight slip from Q4. But Q4 is definitely possible. We have just seen a re-ignition of this COVID kind of news. And it seems to slowdown the government and commercial lenders. So, I think it’s Q1 of next year is when project financing is currently expected to occur.
Todd Firestone: That’s great, thanks. Maybe just one on India, you gave quite a bit of color there today of how business can improve there and just the size of the market. How can we think about the timing of a real step change and revenue generation is it a 2022 or maybe a little color on what needs to happen to kind of transition that business to materially higher revenue?
Eric McAfee: There is two things that could be upside opportunities for India for us. Number one is simply the government despite the COVID delays. Moving forward with its national biofuels policy, which is 5% blend, about 1.25 billion gallons of biodiesel. And that’s a billion gallons more than the current capacity in the country. There is increasing focus on climate change. Certainly meet United Nations issuing its recent report claiming that we are already past the point of no return on climate change. There is just a lot of factors that would lead the Indian government to want to more aggressively enforce its current law. That’s really the number one factor for us, is that everybody is showing the right steps and the right direction, the slow steps have been slow. The second would be a fall in feedstock prices. We have sourcing, as I mentioned, of tallow. And we are going through a current process in which we potentially could be using that in production in a much more expanded basis. And so access to lower costs, the local feedstock is certainly part of our strategy that could position us well for rapid growth in India. So, either one or both of those coming together, could rapidly expand our India plan.
Todd Firestone: That’s great. I appreciate it. Thank you.
Eric McAfee: Sure. Thank you.
Operator: We will take our next question from Ed Woo with Ascendiant Capital. Please go ahead.
Ed Woo: Yes. Thanks for taking my question. A quick housekeeping question, have you guys recognized any revenue from the biogas project yet?
Eric McAfee: We are currently showing that through our ethanol plant. We are using that biogas to run our ethanol plant. So, our ethanol carbon intensity is lower now that we get our pathway approved. But it’s being monetized through ethanol revenues right now.
Ed Woo: Great. And then my last question is, what do you view as the price of oil? And how will that impact you absent any changes in the renewable fuel standards? If that doesn’t change, how would the price of oil impact your ethanol business?
Eric McAfee: I don’t think the price of oil is going to directly have a very materially impact on ethanol. What will definitely have the material impact would be a strong enforcement of the Renewable Fuel Standard, which is 15 billion gallons per year, plus a 500 million gallon court order issued by Federal Court in July of 2017. The Biden administration simply follows Federal law. We will have a 15.5 billion gallon market demand, which will be a very robust demand for the ethanol molecule. And I think that has the most direct impact on our margins in the current market.
Ed Woo: Alright. Great. Well, thank you for answering my questions and good luck.
Eric McAfee: Thank you.
Operator: We will take our next question from Marco Rodriguez with Stonegate Capital. Please go ahead.
Dillon Wagner: Hi guys, this is Dillon Wagner filling in for Marco today. Thank you for taking my question. I just wanted to see if you all can provide a quick update on your investment in Nevo Motors.
Eric McAfee: Sure. We have a strategic ownership in Nevo. And we have kept the specifics of the operation of Nevo off the radar screen, primarily because of the rapid expansion of our core business, including entering the carbon sequestration business, which occurred after our Nevo Motors activity. So, Nevo has a stated goal already of using biofuels as range extenders for electric trucks. And that strategy continues to get a lot of investor attention. And so we see future activity at Nevo that will be very beneficial and that as shareholders we own a little less than 20% of the company. But it’s utilizing Aemetis’ existing of the structure of biogas fueling and facilities at Riverbank and other things we have at Aemetis rather than our cash. And so our – our expectation is that over the next 12 months, we will see some more public disclosure of the Nevo product line and how that strategy is being implemented. But we have not highlighted that because we don’t want investors to be confused that Aemetis somehow is an electric truck company because we own some shareholdings in expanding biofuels range extender application of our existing core business.
Dillon Wagner: Got it. And then one more question. There has just been a lot of discussion of climate change in the news and big pushes by governments and automakers to drive significant levels of electric vehicle sales. And how are you are all kind of looking at this trend to impact your business?
Eric McAfee: I think that investors event increasingly are looking at how do you make electricity as something that’s not carbon intensive. Over 50% of electricity in the United States is made from coal, or petroleum natural gas, which is very highly carbon intensive more than, frankly, gasoline. So, our biogas had negative 426 carbon intensity is certainly one of the most carbon negative electricity sources in the world and easily displaces petroleum natural gas as a better energy source for electric vehicles. And so as these initiatives are adopted to rapidly expand charging infrastructure and electric vehicle models increase in number. The carbon intensity of fuel I think is going to become a central issue. Running electric vehicles on coal isn’t necessarily a step forward when that coal carbon intensity is higher than that of gasoline or diesel. And so I think our biogas has an expanding market opportunity, feeding the electric vehicle revolution. And as our discussion we just had about Nevo Motors, I think that the electrical vehicle revolution as you start carrying heavier cargoes, ends up demanding more and more of batteries, and that the range and capacity of larger vehicles needs a range extender. That range extender is petrol and diesel, or petroleum gasoline, the carbon intensity of that electric vehicle ends up being impeded. So, you end up having an opportunity for our biofuels, such as ethanol, or biogas to be used in range extenders to basically make your less electric vehicle carrier heavy cargo and go farther than what the batteries can contain. So, we end up at Aemetis playing both the electricity role in electric vehicle, and also the biofuel range extender fuel when that electricity is run out and the batteries no longer can carry what was originally obtained from a wall socket essentially. And I think investors increasingly are going to start understanding it’s really about incorporate by carbon intensity, that even a gasoline or diesel vehicle can have electric drivetrain. But it’s really where do the electricity come from., what energy sources it come from, whether it was coal, or petroleum, natural gas or negative 426 carbon intensity Aemetis biogas is going to end up being the primary driver of these discussions as people understand that climate change is what really fighting here. It’s not really a question of the drivetrain to the vehicle.
Dillon Wagner: Got it. I appreciate the color. Thanks.
Eric McAfee: Sure. Thank you, Dillon.
Operator: There are no further questions at this time. I would like to turn the floor back over to management for closing comments.
Eric McAfee: Alright, thank you. We appreciate the Aemetis shareholders and analysts and others who joined us today. Please review the Aemetis corporate presentation which is on the Aemetis website. And we look forward to talking with you about participating in the growth opportunities at Aemetis in the future.
Todd Waltz: Thank you for attending today’s Aemetis earnings conference call. Please visit the investor section at the Aemetis website where we will post a written version and an audio version of this Aemetis earnings review and business update. Terrene?
Operator: Thank you. This does conclude today’s teleconference. We thank you again for your participation. You may disconnect your lines at this time and have a great day.